Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Garrett Motion Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to your host, Paul Blalock. You may begin.
Paul Blalock: Thank you, Kevin. Good day, everyone, and welcome, and thank you for joining Garrett Motion's Fourth Quarter and Full Year 2021 Financial Results Conference Call. Before we begin, I'd like to mention that today's presentation and earnings press release are available on the Garrett Motion website at garrettmotion.com, where you will also find links to our SEC filings, along with other important information about our company. Turning to Slide 2, we note that this presentation contains forward-looking statements within the meaning of the Securities Exchange Act. We encourage you to read the risk factors contained in our filings with the SEC, become aware of the risks and uncertainties in our business and understand that forward-looking statements are only estimates of future performance and should be taken as such. The forward-looking statements represent management's expectations only as of today, and the company disclaims any obligation to update them. Today's presentation also includes non-GAAP measures to describe the way in which we manage and operate our business. We reconcile each of these measures to the most directly comparable GAAP measure and you're encouraged to examine those reconciliations, which are found in the appendix to both the press release and the slide presentation. Also in today's presentation and comments, we may refer to light vehicle diesel and light vehicle gasoline products by using the terms diesel and gasoline only. With us today is Olivier Rabiller, Garrett's President and Chief Executive Officer; and Sean Deason, Garrett's Senior Vice President and Chief Financial Officer. I will now hand it over to Olivier.
Olivier Rabiller: Thanks, Paul, and welcome, everyone, to Garrett's fourth quarter and full year 2021 results conference call. I will begin my remarks on Slide 3, where we start with highlights for the year. 2021 was a remarkably challenging and successful year for Garrett. Various waves of COVID, combined with the semiconductor shortage, created numerous difficulties for our employees, supply chain partners and customers. Even in this volatile environment, Garrett delivered strong results across all key metrics. I would like to thank our employees for their hard work and dedication in these extreme circumstances as they successfully executed in the face of fluctuating demand, component shortages, COVID-related disruptions, and emerging cost pressures. Our employees are key differentiator and critical for the long-term success of Garrett. This past year was easily one of the most dynamic years in the automotive industry. Even with all the headwinds I mentioned earlier, the strength of our leadership position across light vehicles, commercial vehicles and aftermarket, combined with robust execution, allowed us to deliver net sales of $3.6 billion, an increase of 15% at constant currency, outpacing global auto production by approximately 12.5 percentage points. Global light vehicle production was up only slightly from 2020, with an estimated growth of only 2.5%, historical low for the past 10 years. And in this environment, Garrett is well positioned for prolonged growth as turbo technology continues to penetrate on internal combustion engines and hybrid powertrain, and we continue to grow our share of demand through new business wins. Obviously, pent-up demands from customers for vehicles will drive global industry volumes higher in the coming years and our increasing share of demand will remain a major growth catalyst for Garrett.  This slow recovery in 2021 of light vehicle production was enhanced by a 25% net sales growth in our commercial vehicle vertical and a 21% growth in our aftermarket business. These two high-margin businesses comprised approximately 30% of our net sales in 2021 and an even greater proportion of our earnings. This growth in aftermarket and commercial vehicles, coupled with the improved mix of the light vehicle sales, allowed Garrett to increase our adjusted EBITDA by 38% and our adjusted EBITDA margin by 220 basis points to 16.7%. Finally, adjusted free cash flow was $367 million in 2021 as we nicely converted our earnings growth into cash. This solid cash flow generation allowed us to accelerate our deleveraging activities and repay $211 million of the Series B preferred stock in Q4 2021. Furthermore, we have agreed to a second repayment of the Series B preferred stock of $197 million in the first quarter of 2022. In addition, we launched a pro-rata $100 million stock buyback program, and Sean will update you in a few moments on the progress made in Q4.  Lastly, we increased the capacity of our revolving credit facility by $124 million to $424 million in January of 2022. Taken together, these transactions further optimize our capital structure and enhance our ability to create long-term shareholder value. On Slide 4, we outlined our growth strategy as we continue to execute in the near and midterm, while investing and delivering differentiated solutions to our customers as the automotive industry continues to evolve. First, our core business continues to strengthen as we capitalize on a new business win rate of greater than 50%, which has positioned Garrett in the #1 and #2 position across all of our core business verticals. This achievement was driven by Garrett's rich portfolio of differentiated technologies, such as the variable nozzle turbine technology using gasoline powertrains and the new electric boosting technologies used for hybrids, just to name a few. This is also one of the key factors that allows us to continue to outperform automotive production growth even in a volatile macro environment. This differentiated technology will continue to drive our success in 2022 in our core light vehicle and commercial vehicle verticals and will increase our penetration on hybrid electric vehicle programs as we serve our customers' growing needs in these existing and new areas. I should also highlight again that the turbo business is in a long-term technologically-driven industry consolidation with improving competitive dynamics. We expect, as such, to continue competing and win an increasing share of demand as our customers consolidate their global engine platforms, resulting in larger awarded program volumes. Next, we are excited for the upcoming launch of our award-winning E-Turbo on the Mercedes AMG new hybrid platform. This industry-first technology won the prestigious 2021 Automotive New PACE Award for innovation and is a powerful example of Garrett's in-house developed technologies moving from its roots in Formula 1 to leading-edge hybrid development. The E-Turbo draws upon Garrett's advanced in-house capabilities in high speed motors, power electronics and control as well as our software capabilities, which are highly relevant and required for the electrification of the powertrain. As OEMs continue to increase the electrification of their vehicle offerings, we have accelerated the development of our fuel cell compressor technology and continue to offer market-leading differentiated products in this space. In 2022, we have several second-generation fuel cell compressor launches plan with key customers, and we are actively designing our third-generation product portfolio to meet our customers' future fuel cell needs. On the software side, we will launch our in-house developed industry-first cybersecurity software this year in Asia, along with the first deployment of our predictive control software offering. Our objective is clear, we are continuing to develop and launch new technologies in our core business, while accelerating our deployment to support our new electrified offerings. We are pivoting our development capabilities and focus as we increase our new talent pool for the acceleration of new technologies, aimed at sustaining and enhancing our differentiation in the electrification of powertrains. This clear technology and customer focus, supported by the strength in our commercial vehicle and aftermarket businesses, allowed Garrett to not only sustain strong margins, but also improve them during the various crisis in 2021. As such, we expect to use our strong operational cash flow to continue investing approximately 50% of our R&D into new technology in 2022, up from 40% in 2021, which, in fact, includes non-traditional internal combustion engine project used in application for hybrid platforms, fuel cell compressor applications and other projects for electrified drivetrains. Lastly, despite gradual improvement in the persistent headwind in early 2022, we currently anticipate global light vehicle production to increase by 7% versus 2021. And we expect strong adjusted free cash flow generation between $400 million to $500 million for 2022. In summary, we expect Garrett's proven track record of pioneering new and differentiated technologies will drive our success in the marketplace while we continue to increase our investment for the future for the benefit of the company and our shareholders. With that, I will now turn it over to Sean to provide us with more insight on our results. And afterwards, I will provide some additional closing remarks.
Sean Deason: Thanks, Olivier, and welcome, everyone. I will begin my remarks on Slide 5. Starting with our Q4 2021 results, a challenging production environment, hampered by continued semiconductor shortages, depressed volumes compared to Q4 2020. Net sales declined 14% to $862 million at constant currency. Adjusted EBITDA also declined 13% to $125 million in the fourth quarter. However, the adjusted EBITDA margin increased 20 basis points to 15%, primarily driven by an improved product mix from higher-margin commercial vehicle and aftermarket products. We will discuss this in greater detail in a few minutes. Adjusted free cash flow in Q4 2021 was $151 million and increased sequentially from Q3, driven by improved volumes and working capital releases, but down from last year's Q4 figure of $236 million due to volume reductions. Lastly, adjusted net income was virtually unchanged from 2020 at $78 million versus $77 million as compared to Q4 2020. Overall, Garrett improved our Q4 2021 adjusted EBITDA margin even in the face of reduced production and sales. Turning now to Slide 6. You will see our net sales bridge for the quarter by product category. As you may remember, Q4 of 2020 had a record volume of 4 million units produced, primarily driven by gasoline program launches in China and North America. The 14% net sales reduction versus Q4 of 2020 reflects decreases in gasoline and diesel products, primarily due to semiconductor shortages on passenger vehicles where gasoline sales were down 15% and diesel down 29%.  However, for the quarter, the higher-margin businesses of commercial vehicles and aftermarket products were up 3% and 18%, respectively, at constant currency. This resulted in a favorable mix for the quarter and contributed to a margin improvement, which we will see on the next slide, and is driven in part by commercial vehicle and aftermarket products, which combined, comprised 32% of fourth quarter net sales. Lastly, the FX impact to Q4 to Q4 was a $12 million headwind, primarily driven by a stronger dollar to euro exchange rate. Turning to Slide 7. You will see our Q4 to Q4 adjusted EBITDA bridge. Although Q4 2021 volumes of 3.3 million units were up 6% sequentially from Q3 2021, they were down 18% from Q4 2020's record volume of 4 million units. This led to a $52 million volume-related reduction, which was further exacerbated by commodity and transportation inflation, partially offset by improvements in product mix, price, productivity and SG&A. Overall, adjusted EBITDA decreased $20 million to $129 million in Q4 2021 versus $149 million last year. However, the adjusted EBITDA margin increased 20 basis points to 15% for Q4 2021, as mentioned earlier, driven by increases in commercial vehicles and aftermarket products, both with higher margins, offsetting the decrease in light vehicle products with lower margins, and this drove a favorable mix in adjusted EBITDA. Turning to Slide 8, you will see our full year comparison. Garrett reported 2021 net sales just over $3.6 billion, representing growth of 20% on a GAAP basis and 15% at constant currency, significantly outpacing the 2021 global auto production by 12.5 percentage points. Adjusted EBITDA for 2021 increased 38% year-over-year to $607 million, which is just above the midpoint of our revised guidance range and equates to an adjusted EBITDA margin of 16.7% for 2021 and a 220 basis point margin expansion as we were able to improve our profitably due in part to a favorable product mix from commercial vehicle and aftermarket products. Adjusted free cash flow increased from $128 million in 2020 to $367 million in 2021, representing a 111% adjusted free cash flow conversion rate, reflecting our ability to capitalize on a favorable mix and generate solid cash flow even in a volatile macro environment. Lastly, adjusted net income was $331 million in 2021, up from $215 million in 2020 and excludes FX losses, reorganization and repositioning charges and stock-based compensation, representing an increase of 54% year-over-year. Overall, Garrett's strong 2021 results delivered across all key financial metrics, and we demonstrated our ability to grow while managing the various headwinds and the supply chain challenge inflationary environment. Turning to Slide 9. We show our net sales bridge for 2021 versus 2020, and we provide net sales by product category. For the full year of 2021, we experienced solid growth across all regions and product lines, reflecting the impact of the COVID-19 pandemic on 2020 results. Gasoline products grew 15% at constant currency and 39% of total net sales. Next, diesel products grew 9% and were 29% of sales. On a year-over-year basis, the best performing products for 2021 were from the commercial vehicle and aftermarket businesses, growing 25% and 21%, respectively. The strong growth in these high-value businesses represented 30% of our 2021 sales and demonstrates the benefit of Garrett's well-diversified and broad portfolio of products across all verticals. The overall FX impact in 2021 was a $132 million tailwind and reflective of a stronger euro to dollar exchange rate versus 2020. Overall, Garrett grew net sales at 15% at constant currency, with the strongest growth in the high-value businesses of commercial vehicle and aftermarket businesses. Turning now to Slide 10. You can see our adjusted EBITDA walk for 2021 as compared to 2020. In 2021, our production volumes totaled 13.7 million units, an increase of 14% compared to 2020. For 2021, Garrett's adjusted EBITDA increased 38% to $607 million due to improvements in volume and productivity and SG&A, partially offset by product mix, price and price net of inflation pass-through as well as higher commodity and transportation inflation costs. As Olivier referenced a few moments ago, we also increased R&D spending by $17 million in 2021 as compared with 2020, with 40% of our total R&D spend dedicated to new technologies. In addition, the FX impact in 2021 was a $28 million tailwind and reflected -- and reflective of a stronger euro-to-dollar exchange rate versus 2020. Overall, our adjusted EBITDA margin in 2021 was 16.7% and represented a year-over-year improvement of 220 basis points. Importantly, our year-over-year incremental margin was 28%, driven by productivity gains, volume leverage and foreign exchange gains. Productivity remains a priority in this environment as supply chain and inflation issues persist, affecting freight, logistics, energy and commodity costs. In 2021, we work closely with our global customers and suppliers to mitigate much of this impact, helped by favorable mix of our product portfolio. In 2022, we intend to continue to work closely with our customers and suppliers to address the increased complexities of our supply chain dynamics. Turning to Slide 11. Garrett's high working capital turnover has historically provided a source of cash on an annual basis, assuming an increasing volume and sales environment. However, as we discussed on our Q3 call, the negative impact of lower volume, which was primarily driven by the global chip shortage, resulted in working capital being a use of cash in Q2 and Q3 of 2021. As shown on the right-hand side of this slide, and as we pointed out on our Q3 call, working capital for Q4 once again moved back to become a source of cash contributing $84 million in Q4. Shifting to the left-hand side of the slide, you will see the 2021 bridge from adjusted EBITDA to adjusted FCF, deducting the full year change in working capital, cash taxes, cash interest and capital expenditures resulting in free cash flow of $367 million for the year. In 2021, we were able to optimize our inventory as customer production schedules began to stabilize in the fourth quarter along with demand. Before we leave this slide, I would also like to mention that we would also expect generally positive net working capital contributions in 2022, given our outlook for gradually improving sales and volume cadence throughout the year. Turning to Slide 12. We ended 2021 with available liquidity of $720 million, including $423 million in unrestricted cash and approximately $297 million in undrawn commitments under our $300 million revolving credit facility. Additionally, in January of 2022, we increased our revolver capacity by $124 million to $424 million, which further improves our liquidity for 2022. We also accelerated the previously announced $211 million Series B preferred stock redemption into Q4 of 2021, saving $2 million in additional interest expense. And as mentioned, we expect an additional $197 million in Series B redemptions prior to the end of the first quarter of 2022, helping to further improve our leverage ratio. Following the Q4 2021 payment, the present value of the remaining scheduled redemption payments on the Series B shares is $395 million. As of December 31, 2021, and including the Series B preferred stock, Garrett's gross and net debt to consolidated EBITDA ratios were 2.64x and 1.95x. I should also mention that in January, Moody's recognized our deleveraging progress and upgraded Garrett to BA2 for our corporate family rating, which was previously BA3. I am also pleased to report that in Q4, we repurchased 509,000 common shares and 1.8 million Series A preferred shares, for a total equity decrease of $19 million. Lastly, in the market capitalization table, you can see our current market capitalization of approximately $2.6 billion. This figure is comprised of 246 million shares of Series A securities and 65 million common shares, which positions Garrett Motion as a solid mid-cap company. Overall, we are excited about the progress made to date as we have improved our leverage profile, repurchased meaningful equity in the fourth quarter of 2021, under our pro-rata stock repurchase program, and we increased our RCF capacity in January 2022 as we focus our investments on innovative new products and solutions to address the future needs of the automotive industry. Turning now to Slide 13. We provide our 2022 outlook. As you can see, we have delineated ranges for key metrics in 2022 as well as our planning assumptions. For greater detail, I would also point you to the reconciliations of each of these metrics to the nearest GAAP figure as shown in the appendix. The key full year 2022 assumptions on the major metrics using the midpoints of the ranges are global light vehicle auto production of 7%, net sales rounding to $3.9 billion, adjusted EBITDA of $620 million and net cash provided by operating activities of $535 million; and last but not least, adjusted free cash flow of $450 million. Given this outlook, we are confident in our ability to continue to generate healthy cash flow even as we continue to invest in our strategic growth initiatives, and we do not expect the near-term industry challenges to dampen our long-term outlook or our focus on enhancing shareholder value. Having said that, we do expect a gradual rebound throughout the year with stronger second half results than what we expect in the first half of the year, as we started 2022 with ongoing impacts from COVID as well as continued inflationary pressures.  In a nutshell and on a full year basis, we expect to largely offset inflation through productivity and we expect significant cost recovery through reduced pricing impacts. I should also caution that the timing of the cost pass-through we expect on a full year basis is not likely to be linear across quarters as ongoing conversations with OEMs and the implementation of these recovery mechanisms take time. Turning to the right-hand side of the page, we show graphically the expected bridge from 2021's adjusted EBITDA of $607 million to the midpoint of our 2022 adjusted EBITDA range of $620 million. As you see, on a full year basis, we expect a significant lift from increased volume of $100 million in 2022, partially offset by a $40 million product mix impact as production normalizes across our verticals, and which I can confirm, is already happening and beginning to happen as improved chip supply drives growth across our portfolio. As you can see, we also expect $70 million in commodity and transportation inflation costs for the year, which should be offset by $79 million of improvement in productivity and SG&A. As previously mentioned, we also expect to increase our spending for new technology investments by an incremental $18 million in R&D, and we now estimate roughly half of the total R&D spend for 2022 will be in new technology areas. Lastly, we estimate a $26 million FX headwind on adjusted EBITDA from using a 1.13 dollar-to-euro exchange rate for 2022 planning purposes. In summary, Garrett expects to make 2022 another year of focused execution in a gradually improving macro environment while driving greater long-term value for our shareholders. With that, I will now hand it back to Olivier for his concluding remarks.
Olivier Rabiller: Thank you, Sean. In summary, Garrett delivered strong results across all of our key metrics, while continuing to launch new differentiated technologies and to develop new capabilities to support our deployment in the powertrain electrification. We increased net sales by 15% at constant currency to $3.6 billion, significantly exceeding global auto production by approximately 12.5 percentage points and even with numerous disruptions in the global auto supply chain, which significantly impacted 2021 volumes and led to a dynamic macro environment. This strong growth was primarily led by our commercial vehicle and aftermarket businesses, which combined accounted for over 30% of 2021 net sales and which commend higher returns. Second, Garrett generated $607 million in adjusted EBITDA, even with our significant R&D spending focused on key investments into initiatives for the future. Third, we increased our adjusted EBITDA margin by 220 basis points to 16.7%, even in an inflationary cost environment, a testimony to the proven execution and operational excellence that is a key focus for the company. Fourth, we reduced our net leverage below 2, reaching 1.94x, including the Series B. Fifth, we instituted a $100 million stock buyback program, resulting in 19 million of repurchases in Q4 2020. Lastly, we ended 2021 with $720 million in total liquidity, and we expanded our revolving credit facility in January by $124 million and it now totals $424 million in undrawn availability. In conclusion, our Garrett team continues to build upon the strong track record of accomplishing our strategic objectives as we deliver strong results across our portfolio in 2021. And as we move on to 2022 and beyond, we will remain our focus on developing our new technologies around turbo, electrification and software, collaborating closely with our global customers as we have done for decades. Operator, we are now ready to begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from Hamed Khorsand with BWS Financial.
Hamed Khorsand: The first question I had was -- are you seeing any of the disruptions in your order flow as you were in the prior quarter? And if not, how is it improving? Are you seeing increased order flow? Or is it just a constant order as far as what you're seeing from customers?
Olivier Rabiller: That's a very good question indeed. What we have seen in Q4 is that the industry was suffering from a lot of last minute cuts in the demand we are seeing from customers. In fact, and we mentioned that in the past, we had severely undercut the demand forecast we were receiving from customers. Obviously, this is not something easy to do. But in order to protect our supply chain, protect our suppliers as well. And I think we've been very successful to do that because when I look at the numbers that we ended up with in Q4, they were very close to our initial forecast, which is clearly below what customers were forecasting.  So the first sign of recovery for us would be a stabilization of the demand signal from customers. And indeed, this is what we see in the beginning of this year, which is not uncommon with some of our -- what our peers have said, stabilization of the demand signal. It remains a little bit too early to our view to understand if the recovery is happening at the pace at which we are forecasting it. If it's happening faster than that, far too early to know. We will need probably a few more months to confirm that.
Hamed Khorsand: Okay. And then the other question I had was looking out into 2022. Is it your VNT and E-Turbo that's going to drive the unit growth? Or are you relying more on the commercial and aftermarket?
Olivier Rabiller: Well, we are expecting everything to keep on growing in 2022, in fact. And by the way, not only VNT, I mean, we had wins in gasoline, even in the Wastegate, which is the nonvariable geometry technology. So all of that will contribute to the growth we expect in 2022, all verticals.
Hamed Khorsand: And my last question is what does this do as far as your average unit price? It went down in Q4. So I'm just looking at what happens in '22?
Sean Deason: Yes. The ASP -- this is Sean, Hamed. The ASP would come under some pressure just because of the mix. And as we see the industry restarting, as you know and as we talked about this past year, there was a prioritization for larger engines in more profitable vehicles. And -- but there is a lot of pent-up demand for some of the smaller vehicles. They still have turbos and we still make margin on, but it is at a lower level. So ASP, and that's part of the mix, the product mix, the headwind of $40 million you see on our bridge. ASP could come under a bit of pressure. But again, we need to see how the whole of recovery unfolds.
Hamed Khorsand: But even though ASPs could come under pressure, when will the increase in production allow you to absorb a lot more operating expenses and so forth?
Sean Deason: Correct. Yes, absolutely. But overall, if you -- as you see revenue increasing along with units, some of the units we're adding this year are going to be at a lower ASP on average than this past year.
Hamed Khorsand: Understood. Okay, great. Thank you.
Operator: Our next question comes from Josh Taykowski with Credit Suisse.
Josh Taykowski : Just a quick one for me. I may have missed this in the prepared remarks, but I just wanted to ask about CapEx during the quarter. Because it looked like a net inflow during 4Q. So I guess what was driving that? And how should we think about CapEx going forward into the first quarter and the remainder of '22?
Sean Deason: Yes. We see CapEx definitely up next year. You had -- we were managing our cash flow and our CapEx, but primarily driven by programs that were delayed because of the pandemic-related disruptions. And the dynamic in the fourth quarter, a lot of the development we do also does get reimbursed by the customer. Some of it's lump sum, some of it is piece price. And just the way the mix of cash flows happened in the fourth quarter ended up being better -- the better inflow than expected. But overall, our free cash flow came in slightly more positive, but in line with guidance on the upside. So there are some dynamics there, but we expect CapEx to get back to normal operating levels that you've seen historically going forward, and that's factored into our cash flow as well.
Josh Taykowski: Got it. Fair enough. Okay, thank you very much.
Operator: Our next question comes from Prateek Gupta with Goldman Sachs.
Prateek Gupta: Great. So first question from me is just on the 2022 outlook. So I'm just looking at your outperformance related to like, with the production in FY '21, which is around 12.5. But based upon your guidance, it looked pretty muted from outperformance perspective for 2022. So can you please just talk a little bit about what are the various puts and takes going behind that in terms of how we're thinking about your varied end markets and how you expect it to perform related to that?
Olivier Rabiller: So it was a little bit difficult to get. Maybe I rephrase a little bit what you got on the question. So your question is pretty much about the way it develops into 2022, and what's behind the 7% growth that we anticipated for the light vehicle industry. In fact, what we see coming up is no surprise, a little bit the same as everyone. We have the benefit on our side to work with pretty much all the carmakers around the world. So that gives us a little bit of a balanced view into the way they are recovering, between some groups of customers that are extremely optimistic and some others that may be more on the pessimistic side. We also compare ourselves with big consultancy companies to understand the way they see it as well. But that broad reach gives us usually not so bad of a good view as we experienced in Q4. I would say beyond the 7% that you see, for us, it's a gradual recovery, primarily in the back end of 2022. We'd like to be surprised, but we are not anticipating, and this is getting confirmed, as we speak, by some of our customers. We are not anticipating a huge or fast recovery in the first half of the year. And then that recovery will take different forms depending on the regions. So we'll monitor very closely what's happening in China. There is a point that Sean was mentioning about the mix in Europe because in Europe there is a need to produce -- there is a huge pent-up demand for smaller vehicles. But by the way, some of our customers need to reach their CO2 targets imposed by the European Commission. So we are monitoring all that. But we are not seeing -- so far, we have not changed our plans for the last couple of months, and we are seeing that it doesn't develop faster than what we anticipated. Sean, do you want to add anything?
Sean Deason: Sure. I think that answers your question, but I also think you had a part -- you were just asking why our outgrowth was not as -- is slowing down a bit? And again, that is part of the industry restart and part of the shift in mix. And so -- but as the industry begins to normalize and if we see higher volumes, you could see a stronger outgrowth
Prateek Gupta: Okay. Okay. And second question from me is from a capital allocation perspective. So we are in another payment on the 100 Series B preferred pretty soon. So what should we expect going forward from your usage of cash because you have strong liquidity, you're reading good amount of free cash flow as well? So if you could talk about that from a broader perspective?
Sean Deason: Well, I would say right now, we are on track to normalize our capital structure and automatically convert the Series A next year in April 30. But in the meantime, we are still seeing headwinds from COVID-related disruptions and semi-con. So until we see some stabilization, and we have a clear view of a strong second half of the year, we're going to keep our capital structure as is, and focusing on execution. And I would say stay tuned until next quarter.
Operator: [Operator Instructions] Our next question comes from Chris McIntyre with McIntyre Partnerships.
Chris McIntyre: Just a quick question. When can we expect like guidance around what level of like gross and net debt we're thinking about for capital structure post conversion of the preface?
Sean Deason: Again, there are a lot of factors that go into that. I think the first and most important thing is that you need to see the industry stabilize. We are planning on doing some investor communications later in the year. And so again, depending upon how quickly we see a stabilization we could -- you can expect further communication. But right now, we're just really focused on trying to keep our interest expense as low as we can and also move towards execution so we can convert to Series A and normalize our capital structure, the 1 class of common and 1 class of debt in the given time frame currently.
Operator: And I'm not showing any further questions at this time. So I will conclude today's presentation. You may all disconnect, and have a wonderful day.
Olivier Rabiller: Thank you.